Operator: Good morning, and welcome to the Pitney Bowes Third Quarter 2016 Results Conference Call. Today's call is also being recorded. If you have any objections, please disconnect your line at this time. I would now like to introduce your speakers for today's call, Mr. Marc Lautenbach, President and Chief Executive Officer; Mr. Michael Monahan, Executive Vice President, Chief Operating Officer and Chief Financial Officer; and Mr. Adam David, Vice President, Investor Relations. Mr. David will now begin the call with the Safe Harbor overview.
Adam David - Pitney Bowes, Inc.: Good morning. Included in this presentation are forward-looking statements about our expected future business and financial performance. Forward-looking statements involve risks and uncertainties that could cause actual results to be materially different from our projections. More information about these risks and uncertainties can be found in our 2015 Form 10-K, Annual Report and other reports filed with the SEC that are located on our website at www.pb.com and by clicking on Investor Relations. Please keep in mind that we do not undertake any obligation to update any forward-looking statements as a result of new information or developments. Also, for non-GAAP measures used in the press release or discussed in this presentation, you can find reconciliations to the appropriate GAAP measures in the tables attached to our press release and also on our Investor Relations website. Additionally, we have provided slides that summarize most of the points we will discuss during the call. These slides can also be found on our Investor Relations website. Now, our President and Chief Executive Officer, Marc Lautenbach, will start with a few opening remarks. Marc?
Marc Bradley Lautenbach - Pitney Bowes, Inc.: Good morning. Thank you for joining our third quarter conference call. Similar to the last quarter, there were several moving parts and puts and takes during the third quarter that affected our performance and our financial results. While we continue to make progress against our strategic initiatives to unlock value and transform our company, we have more work to do. That said, we are confident that the actions we have put in place this year will continue to yield improved results in the fourth quarter and throughout 2017. On the positive side of the ledger, our new enterprise business platform, which was deployed in the second quarter, continues to provide operational benefits. Our new products and solutions introduced in the second quarter and third quarter and tied to the Pitney Bowes Commerce Cloud are resonating well with our clients and gaining traction, and our go-to-market strategy is yielding solid results. Turning to the third quarter results. Global Ecommerce posted another strong performance, and our Production Mail business grew and delivered impressive equipment sales results. Overall, equipment sales grew 6% this quarter. While we continue to make progress building out our partner channel and our software business, license revenue in the third quarter fell short of our expectations. Clearly, we are not satisfied with our software performance and have taken a number of actions around improving our sales channel efforts and continuing to focus on growing the pipeline for license revenue deals. We are making progress, but there's much more to do. In our Small and Medium Business, equipment sales rebounded after the initial deployment of our enterprise business platform in the second quarter. While there are some lingering issues, we continued to enhance the platform and expect to see improvements in the end of the year and into the first half of 2017. Now, let me update you on the progress we are making on our strategic initiatives, the reinvention of our Mail business, operational excellence and growing our digital commerce business by leveraging our client base. First, reinvention of our Mail business. We introduced the notion of reinventing our Mail business back in September of 2015. We understand that today's SMB clients required reliability, security and predictability of our traditional mailing systems, as well as the need to simplify the increasing volumes of shipping parcels. But we also know that clients want the ease of use and rich features that our digital capabilities provide. For Pitney Bowes, reinventing mail is all about combining the strength of both physical mail and shipping with our digital capabilities to deliver more value for our Small and Medium Business clients. In the past six months, we have doubled down our efforts to deliver new and innovative products that leverage our considerable digital capabilities. We've delivered the Pitney Bowes Commerce Cloud, added a new online web store capabilities, making it easier for clients to do business with us, provided clients with video capability through our EngageOne solutions, developed shipping APIs that provide new ways to monetize our software assets and introduced into the market several software-as-a-service based products and solutions, including SendPro and SmartLink. In fact, we have more than 15,000 clients enrolled to use our SendPro solutions, and we have shipped over 25,000 SmartLink devices since they were first introduced. In early October, we announced SendPro 300, an example of what we mean when we talk about reinventing our mail. The SendPro 300 streamlines multi-carrier office shipping and mailing for SMBs, allowing clients to manage their mail and shipping with USPS, FedEx and UPS while reducing costs. When connected to the Pitney Bowes Commerce Cloud, the SendPro 300 links business and shipping vendors with analytics and APIs and provides automatic postal updates, low ink alerts, service warnings and diagnostic notifications. Next, operational excellence. Driving operational excellence in our business remains a significant ongoing focus for our company each and every day. A critical component for driving operational excellence is our new enterprise business platform, which was deployed in the U.S. in the second quarter. While we have not yet realized the full operational benefits from the platform, we know what needs our focus and attention and expect to see increasing improvements (06:48) in the platform and the benefits through the remainder of the year and throughout 2017. As a reminder, this is not just an ERP implementation, the new platform touches every part of our business, including how sales opportunities are managed; products are configured, enabled and tracked; financials produced; customer service delivered; and client satisfaction managed. As I mentioned last quarter, and it's worth repeating, our new enterprise platform is an essential component to our overall transformation. The substantial long-term benefits we derive from this platform outweigh any short-term challenges that we may face. In the third quarter, SG&A improved 3%. In terms of servicing our debt, we issued $600 million of five-year notes. The transaction was oversubscribed, which is an indication of the continued interest and confidence by the capital markets in our transformation story. Finally, growing our digital commerce business by leveraging our client base. Global Ecommerce business continued to perform very well, growing its retail and marketplace organic revenue 17%, excluding the impacts of currency. During the quarter, we continued to add new store fronts, including Soludos, Evolue and The New York Times Store. Additionally, our Global Ecommerce segment had an 11% EBITDA margin this quarter, driven by revenue growth and synergy savings. Last quarter, I mentioned that demand for our cross-border capabilities is one the most impressive things I have seen. To that end, in the quarter, we announced that we expanded our business in Australia to provide Global Ecommerce Solutions to retailers looking to sell their goods across international borders. With the Pitney Bowes Borderfree retail solution, Australian retailers will reach consumers in 220 countries and territories. Since launched, we have brought three Australian retailers onto our platform and signed more than 10 storefronts. We are also working on expanding the opportunities for our U.S. retailers in key consumer markets, like China and India. For example, eBags recently announced that Pitney Bowes is helping them launch their products on Tmall in China. We are in the early stages, but are pleased about this opportunity. Also, during the quarter, we announced that our shipping APIs for USPS postage are now part of the multi-channel order platform offered by Ordoro, a multi-channel ecommerce order and management solution provider. Now, let me briefly discuss our software business. As I mentioned earlier, license revenue in our software business was disappointing. However, during the quarter, we signed a number of new partners, including regional systems integrators and location intelligence partners. The response from our partners, regional systems integrators and global systems integrators has been very positive, and we're encouraged by the progress we are making, attracting world-class partners to help sell our products and solutions. Importantly, more than 200 partner sales and technical resources have been trained so far, and we are now shifting our focus from recruitment of partners to enablement in pipeline building to guide the sales results we are looking for. We are making good progress in all areas and expect revenue from partners to be a strong contributor in 2017. I said at the outset of my prepared remarks, there are a lot of puts and takes during the third quarter, but I like where we are in this phase of our transformation and I'm confident that the actions we have put in place this year will continue to yield improved results in the fourth quarter and throughout 2017. With that, let me turn the call over to Mike, who will take you through our third quarter results. Mike?
Michael Monahan - Pitney Bowes, Inc.: Thank you, and good morning. As Marc discussed, we continued to make progress against our long-term strategy and achieved some additional milestones during the quarter, but we recognize we have more work to do. Let me provide an overview of the quarter and drill down into some of the details. I will then give an update on our expectation for the remainder of the year. For the third quarter, there are some significant highlights worth noting. Ecommerce marketplace and retail grew revenue organically 17%, excluding the impacts of currency this quarter. As a reminder, this is the first quarter of reporting Borderfree fully in both periods and now represents a clean comparison. This cross-border revenue growth is particularly encouraging because it reflects both a stronger U.S. dollar versus the prior year, as well as some temporary disruption on demand for parcel shipments from the U.S. to Canada prior to the resolution of a Canada Post labor dispute. Additionally, our Global Ecommerce segment had an 11% EBITDA margin this quarter, driven by revenue growth and synergy savings from the Borderfree integration. The Enterprise Business Solutions group in total continues to perform within the long-term market rates for both revenue and EBIT margin. Production Mail grew revenue this quarter by 5%, driven by 27% growth in equipment sales. Excluding the impact of currency and market exits, revenue grew 11% in Production Mail. As we have noted in the past, equipment sales are subject to fluctuations from the impacts of big installations. For SMB, equipment sales declined 1% both globally and in North America Mailing. The North America Mailing segment improved its overall revenue performance from the last quarter, but we are not yet fully back to the stream revenue run rate established prior to the implementation of our new enterprise business platform. Also, in the third quarter, we continued to address and focus our efforts on areas that need to improve. While software solutions did not see improvement in year-over-year license revenue in the quarter, the business continues to make progress in its indirect channel strategy. As Marc mentioned, we continued to sign new regional systems integrators and location intelligence partners. Although it will take time to ramp up the indirect pipeline and see a positive impact to our results from the new agreements we've signed, we're pleased with the progress we've made in building out this new channel. In the meantime, the company has focused on improving its direct sales channel efforts and growing the license revenue pipeline. In SMB, recurring revenue streams declined at a greater rate than recent periods, largely due to lower financing and supplies revenue. In North American Mailing, our financing-related fees were not fully normalized due to proactively waving some fees to allow clients to adjust to new billing formats and based on the timing of when some invoices were sent. Additionally, supplies revenue declined on lower demand and supplies sales resource mix during the quarter. Given the high-margin nature of these recurring revenue streams, EBIT margin was impacted this quarter. We expect stream revenue particularly financing revenue to continue to improve from current levels as a result of financing fees normalizing and supply sales productivity. Presort revenue growth was muted by the rate change earlier in the year and some lower margin deals signed recently. Let me now take you through the third quarter overall financial results. Please note that a reconciliation of GAAP to non-GAAP financial measures can be found in the financial schedules appended to our earnings press release and earnings slides, which are posted on the pitneybowes.com website under the Investor Relations section. Turning to the results. Revenue for the third quarter totaled $839 million, which was a decline of 2% on a constant currency basis adjusted for market exits and a decline of 2.5% constant currency and 3.5% on a reported basis. Revenue in our SMB segment group declined 6% on a constant currency basis adjusted for market exits and declined 7% on a reported basis. Revenue in our Enterprise Business Solutions group grew 4% on a constant currency basis adjusted for market exits and grew 2% on a constant currency and 1% on a reported basis. Digital Commerce Solutions revenue grew 2% on a constant currency basis and declined 1% on a reported basis. Adjusted earnings per share from continuing operations were $0.44. Adjusted earnings per share results include a positive tax adjustment of $0.07 per share principally driven by the resolution of tax examinations. GAAP earnings per share were $0.35, which includes $0.06 per share in restructuring charges and a $0.03 per share charge from the announced redemption of the preferred stock of our Pitney Bowes International Holdings or PBIH subsidiary. Free cash flow was $119 million and we generated $137 million in cash from operations on a GAAP basis. In comparison to prior year, free cash flow is lower mostly due to the timing of accounts payable. During the quarter, the company used its cash to pay $35 million in dividends to common shareholders, $25 million for the Maponics acquisition, and $17 million for restructuring payments. From a debt perspective, the company issued new five-year 3.375% notes for $600 million. This will be a debt neutral transaction as a portion was used to pay down our commercial paper balance during the quarter, and the remaining $300 million is being used to redeem our PBIH preferred securities. Turning to the income statement, as a reminder, this information is on an adjusted basis and a reconciliation of GAAP to non-GAAP financial measures can be found in the financial schedules appended to our earnings press release and earnings slides, which are posted on the pitneybowes.com website under the Investor Relations section. Adjusted earnings before interest and taxes or adjusted EBIT was $146 million this quarter, which was $27 million lower than the prior year as a result of reduced revenue, particularly in North American Mailing and Software. Adjusted EBIT margin was 17.4%. Adding back depreciation and amortization, adjusted EBITDA was $197 million for the quarter. SG&A for the quarter was $300 million, which was $9 million or 3% lower than the prior year. As a percent of revenue, SG&A was 35.8%, which was 20 basis points higher than the prior year. SG&A declined in absolute terms when compared to the prior year, primarily driven by lower employee-related costs. In support of our savings objectives around operational excellence, we recorded a pre-tax restructuring charge of $16 million at the end of the quarter for actions taken to improve operational efficiency and productivity across our business portfolio. Net interest expense, which includes financing interest, was $35 million, a decline of $2 million when compared to the prior year. Average outstanding borrowings during the quarter were $246 million higher than the prior year. The average interest rate this quarter was 4.45%, which was about 77 basis points lower than the prior year. The effective tax rate on adjusted earnings for the quarter was 21.9%. The lower tax rate this quarter is principally related to the favorable resolution of tax examinations. You may recall that we had a higher tax rate in both the first and second quarters of this year. On a year-to-date basis and including this quarter's tax benefits, our tax rate and adjusted earnings is 31.5%. We therefore expect our annual tax rate to be at the low end of our stated range of 33% to 35%. Now, I'd like to discuss the third quarter results for each of our business segments. This information can also be found in our earnings press release and the slides that we posted to the pitneybowes.com website under the Investor Relations section. In North American Mailing, revenue was $330 million and EBIT was $139 million. The revenue decline rate this quarter was an improvement from second quarter, which was impacted by the new Enterprise business platform cutover. Equipment sales declined 1% compared to prior year, returning to levels similar to pre go-live of the new platform. As Marc noted earlier, in October, we added the SendPro 300 to the growing family of connected mailing and shipping devices and apps. As I mentioned earlier, recurring revenue streams declined at a high single-digit rate, largely driven by lower financing-related fees and supplies revenues. The level of financing-related fees were not fully normalized due to proactively waving some fees to allow clients to adjust to new billing formats, and based on the timing of when some invoices were sent. Additionally, supplies revenue declined on lower demand and supply sales resource mix during the quarter. We expect stream revenue, particularly financing revenue, to continue to improve from current levels as a result of financing fees normalizing and supply sales productivity. EBIT margin was 42%, which was 310 basis points lower than prior year, and mostly the result of the decline in high margin recurring revenue streams. In International Mailing, revenue was $96 million and EBIT was $10 million. Excluding the effects of currency movements and market exits, revenue declined 3.5% compared to prior year and equipment sales were flat. Equipment sales benefited from growth, most notably in France, Italy and Japan, but were mostly offset by a decline in the UK. Recurring revenue streams declined driven by lower supplies and rental revenues. EBIT margin was 10.2%, which was relatively flat to prior year as the decline in high margin recurring revenue streams was offset by lower operating expenses. Turning to Enterprise Business Solutions, overall, the segment group's revenue grew 2% on a constant currency basis, which is in line with our long-term expectations. Revenue grew 4% when adjusting for currency and production mail market exits. In Production Mail, revenue was $106 million and EBIT was $16 million. Equipment sales grew 27% over prior year due to higher sorter, inserter and print equipment placements as a result of a number of large client installations in the quarter. Support services revenue declined as a result of the continuing shift from in-house mail production to third party service bureaus who tend to self-service, as well as reduced service revenue associated with the market exits. EBIT margin was 14.8%, which was an improvement of 260 basis points from prior year due to service delivery cost management initiatives, and lower sales and marketing costs. In Presort Services, revenue was $114 million and EBIT was $19 million. Revenue and EBIT margin were impacted this quarter by a decline in the average revenue per piece of mail processed as a result of the rate change earlier in the year and some recently signed lower margin deals. EBIT margin was 16.8%, which was a decline of about 560 basis points versus prior year, primarily due to the revenue decline and increased labor costs. For the Digital Commerce Solutions group, in Software Solutions, revenue was $89 million and EBIT was $10 million. Revenue declined from prior year due to lower customer information management and location intelligence licensing revenues, but benefited from growth in customer engagement software licenses. As Marc outlined and I noted earlier, we are actively signing up new systems integrators and other partners as part of our continued focus on expanding the indirect channel. While we continue to make good progress in expanding the indirect channel and training partner sales and technical resources, it will take time before results reflect substantial revenue from partner-led deals. The business also continues to improve its direct sales efficiency to grow the pipeline of license deals. EBIT margin was 11.6%, which was a decline of 340 basis points versus prior year, mostly due to the lower licensing revenue. In Global Ecommerce, revenue was $104 million and EBIT was $4 million. As I mentioned earlier, this quarter included a full quarter of Borderfree results in both periods. Excluding the impacts of currency, our marketplace and retail revenues grew 17% from prior year on strong growth in the UK outbound shipments. U.S. outbound marketplace grew despite a stronger U.S. dollar versus prior year, as well as some temporary disruption on demand for parcel shipments from the U.S. to Canada prior to the resolution of the Canada Post labor dispute. Domestic office shipping revenue declined from prior year, which reduced overall revenue growth for the Global Ecommerce segment this quarter. EBIT margin was 4.2%, which was an increase of 550 basis points versus the prior year. However, as I noted earlier, the Global Ecommerce segment had an 11% EBITDA margin this quarter. This better reflects the profit and cash improvements post the Borderfree acquisition. The EBITDA margin improvement is due to the revenue growth, as well as the synergy savings from the Borderfree integration, which more than offset continued investment in the business. That concludes my comments on our financial performance for the quarter. Now, I'd like to discuss our annual guidance. The company expects improving trends in the business in the fourth quarter as a result of actions taken to achieve its long-term strategic initiatives. These initiatives include the initial benefits of the implementation of our Enterprise Business platform, new product introductions and continued enhancements of our channel strategy, which will benefit the fourth quarter with increasing contribution into 2017. For 2016, the company expects to be at the low end of its annual guidance range for revenue and adjusted earnings per share. For the full year 2016, we expect revenue on a constant currency basis to be in the range of a 1% decline to 3% decline when compared to 2015, adjusted earnings per share of $1.75 to $1.82, adjusted earnings per share guidance excludes the year-to-date charges of $0.22 per share primarily related to restructuring and asset impairments. We expect free cash flow to be in the range of $400 million to $450 million. Also, as a reminder, the company is hosting its annual Analyst Day on December 6 in New York City, at which time, we'll provide an update on our strategy. Please visit our Investor Relations website for further details on registering to attend or viewing the webcast online for this event. Operator, that concludes my remarks. Please open the line for questions.
Operator: Thank you. Your first question comes from the line of Kartik Mehta from Northcoast Research. Please go ahead.
Kartik Mehta - Northcoast Research Partners LLC: Hey, good morning, Marc and Mike. As you look at the North American Mailing business and the lower financing and supplies revenue, how much of that is market share loss versus how much of that do you think is the change in go-to-market strategy for you?
Michael Monahan - Pitney Bowes, Inc.: In terms of those two line items, I would say supplies has a couple of factors to it. We did do some resource mix shift during the quarter, that probably cost us a little bit. What I mean by that is we had more resources who are focused on digital access and digital selling for supplies versus direct selling or inside sales selling supplies. We also had a small impact related to the cutover because of some resources supporting other customer activities other than supplies, in particular, the sale of our SmartLink product, which is – accrues to equipment, but it's a new product we had to offer. With respect to financing income, there was about $4 million that we would relate to fees that we forwent in the quarter in the interest of getting our clients up to speed in the new invoicing and those types of things. So, if you were to adjust for those fees, we would've been down more in the mid single-digits, more around 7% on the financing line, which is not out of line with where we've seen that line item over the last several quarters. So, I think it's less a market share issue, more sort of some of these transitional issues around both the implementation of our ERP program, as well as in the case of supplies, a combination of resource shipped and some lower demand that we did see in the quarter.
Kartik Mehta - Northcoast Research Partners LLC: Wanted to – from a bigger picture standpoint, as you're restructuring Pitney Bowes and you – as the journey you've taken on and we're into 2016, as you look forward and – where you are, how much of some of the missteps, and I'm not sure if that's the right word, that have happened would you say are execution? How much of it is just that the marketplace has changed, whether it be FX or demand for certain products?
Marc Bradley Lautenbach - Pitney Bowes, Inc.: Yeah. I'm sure it drives a slightly different way. I would say is we're making the changes to our business, whether it would be the go-to-market in the SMB or changing the geographic footprint, or changing the go-to-market in Software or the introduction of our new business platform. There were disruptions across all of those things. So, I don't see those as operational missteps, I see those as short-term sacrifices as we do the right things to optimize the business from the, well, for the long-term.
Kartik Mehta - Northcoast Research Partners LLC: And then just a last question, Mike, maybe. Can you just talk a little bit about 2017 in terms of the cost savings you're anticipating still from the operational efficiency changes you're making this year and how that will impact 2017?
Michael Monahan - Pitney Bowes, Inc.: Sure. As we said before, we expect the benefits to really start to begin to accrue in the fourth quarter this year with the largest share of those benefits coming next year. I would say, we still remain on track for that, as we've described. We'll, obviously, at our Analyst Day, give a more detailed update on that, but we believe we're still in good shape for getting those savings.
Kartik Mehta - Northcoast Research Partners LLC: Thanks, Mike.
Michael Monahan - Pitney Bowes, Inc.: Thank you.
Operator: Your next question comes from the line of Ananda Baruah from Brean. Please go ahead.
Ananda P. Baruah - Brean Capital LLC: Hey, guys. Good morning. Thank you for taking the questions. Can you hear me, okay?
Michael Monahan - Pitney Bowes, Inc.: We can. Thanks.
Ananda P. Baruah - Brean Capital LLC: Okay, great. Just a couple, if I could. The first is, Mike, if you could, I guess, just bridge for us getting to the low end of the full-year guide given that it seems – just sort of simple math, the step-up in December Q EPS, which I believe is $0.14 from September Q, is a little bit, a tad above the high range of what you guys have done in the past. And so I know that the sort of the expectation is you have sort of similar progress in the few of the initiatives that you've been going through this year. I would just love to get context around that. And then I have a follow-up. Thanks a lot.
Michael Monahan - Pitney Bowes, Inc.: Sure. So, good question. In terms of the fourth quarter versus third quarter, I think, as you appreciate, fourth quarter is generally our biggest quarter. Number of our businesses have seasonality around that, it's usually our biggest equipment quarter in SMB. Obviously, Ecommerce has a holiday season benefit and opportunity to it. And then the other big piece that creates a change between the third quarter and fourth quarter is beginning to see the benefits associated with our Enterprise business platform benefits begin to kick in as well. So, it's a combination of seasonality of, I would say, further productivity in our new ERP system and then the cost savings associated with that.
Marc Bradley Lautenbach - Pitney Bowes, Inc.: I would also say that this is a case where past is not prologue. If you look at what's gone over the last several years, we've been, as I said, dealing with these short-term disruptions as we make the steps to improve the business in the long-term. So, I'm not sure you can look at whether there has been historical step-ups as we contemplate the third quarter to fourth quarter.
Ananda P. Baruah - Brean Capital LLC: Yeah. I can – and, Marc, I can totally get that as well. And I guess in that context, do you guys feel that you have – do you feel like you have a good grasp on the visibility right now? I mean, I guess we're almost kind of like approaching kind of – we're sort of halfway through the quarter. So, do you feel like – or approaching that. So, do you feel like you have a grasp on the visibility for the things that you control? Do that – do you feel good about the low end of the range at this point? And then, so, I guess I'm wondering what...
Michael Monahan - Pitney Bowes, Inc.: Yeah, I think as I outlined, there is a number of factors that would drive the fourth quarter. Obviously, as we sit here today, we believe we have the right processes and people in place to make those things happen. Particularly on the SG&A and cost savings side, those things are obviously part of our longer-term plan to generate those benefits, and we're now six months in, so we start to see those come through.
Ananda P. Baruah - Brean Capital LLC: Got it. And then, the second one is just on the equivalent sales growth. Can you – the dynamics behind that, my hunch is that some of it is sort of the initiatives you've been doing the last four years, obviously, plus some benefit from your new Enterprise initiative and – well, not Enterprise initiative, but the sort of your Enterprise software system. So, is there any way to tell how much of it is from that or at least what your gut feeling is? And then, I know I've asked this question a couple of times about sort of the new normal on equipment sales kind of run rate, whether it be sales or more mitigated declines, but are you thinking any differently about that now that you had a – some nice quarters of growth put in? And then just in the context of the number you put up in U.S. mailing, sort of with the transitions you're going through, how are you thinking – how would you like for us to think about that interplay playing out ultimately, the really strong – with the really strong equipment sales growth? Thanks.
Marc Bradley Lautenbach - Pitney Bowes, Inc.: I will say there's three dynamics in equipment sales. I would say in Production Mail, as Mike pointed out, we had good performance, but we also benefited from some large deals. So I would not want to leave you with the expectation that 27% equipment sales is the new normal for DMT. It is a lumpy business. We've been on both sides of that curve since I've been here. That said, as we look at how we're positioned for the fourth quarter between backlog and written business, we're encouraged, I'll say it that way. The second dynamic is that I think some of the new product stuff is starting to make a positive difference. This will be a slow ramp because these are businesses that have a big base in their annuity base, so it's going to take a while for them to have a meaningful impact on the bottom line. But it's clear that the new products are making a difference. And then the third dynamic is, as we get through the business platform implementation, we're starting to see sales productivity back to normal levels. If you were to unlayer the United States from Canada, we saw what I would say is more what we would have expected productivity in the United States six months into the deployment of the platform. On the other side of it, Canada, where we're a year in, we've seen improved productivity, which is a very pleasant benefit. It wasn't part of our business case when we contemplated the new business platform. So, we would expect to see those same dynamics in the United States and the rest of the world over time. How do we add all that up? I'm not sure I'm smart enough to give you advice on how to add all that up, but I would say that as we think about equipment sales in SMB, I think flattish is kind of my interpretation of what stabilization looks like. As it relates to DMT, DMT was going to continue to be lumpy and then average those dynamics. I'll turn to Mike to see if he wants to add anything to that.
Michael Monahan - Pitney Bowes, Inc.: No, I think that's fair. I think the minus 1% in SMB is a good indication of getting back on track. And, as Marc said, we've launched a number of products. I would say they're very early in the cycle in terms of having impact on revenue. So, we'll see how that influences that as we go forward in terms of equipment sale.
Ananda P. Baruah - Brean Capital LLC: Thanks a lot, guys. Appreciate it.
Operator: Your next question comes from the line of Shannon Cross from Cross Research. Please go ahead.
Shannon S. Cross - Cross Research LLC: Thank you very much for taking my questions. I'm curious, when you reported last quarter, you'd indicated that the ERP system had been cut over and the sales force was working well and things were picking back up. So, I guess I'm curious as to what sort of changed during this quarter, or was it just a continued sort of rollout of the ERP system and working through all of the contracts that led to the miss, and then – from a North America standpoint? And then, how are you feeling in the fourth quarter? I just want to get a little more clarity on that. Thank you.
Marc Bradley Lautenbach - Pitney Bowes, Inc.: Let's pick three timestamps as it relates to the deployment of the business platform. So, starting April, I would say and what we've said in the last call, was that April and May were affected negatively as we implemented the new system. And as we got into June and July, those dynamics normalized. And what you saw through the balance of the quarter was that dynamic continuing. So, I think there's three different kind of timestamps as you unlayer that question, Shannon. I think you have to look at April and May, which is one set, and then June through now is the next, and then, finally, how we go forward. As it relates to the issues that we had in the third quarter, and I hesitate to call them issues, the customers were seeing build in a fundamentally different way. That caused a lot of questions understandably. So, out of an abundance of caution as it relates to client satisfaction, we made some adjustments in terms of when we send out bills and also how we thought about fees as regard – related to late charges. So, I would tell it's kind of normal stuff and there's different layers as we move forward. I would – as Mike said, as we got into late in the third quarter and into the fourth quarter, the billing stuff is normalized. So we expect that, as we had indicated, to get back to normal levels in the fourth quarter.
Shannon S. Cross - Cross Research LLC: Okay, great. And...
Michael Monahan - Pitney Bowes, Inc.: Shannon, I would just reemphasize. I think the sales performance is in line with what we saw pre-implementation. So that piece of the business, I think, is certainly back on track. And what Marc is describing is really some of the back office stuff associated with settling down the implementation.
Shannon S. Cross - Cross Research LLC: And the Production Mail strength, was that any specific area or, I don't know, vertical that drove it? Just I'm trying to think about how that sort of – how the boost – and I know you cautioned not to think it's necessarily going to be continuing, but I'm just curious because that was a nice boost.
Michael Monahan - Pitney Bowes, Inc.: Yeah. I would say, there is sort of a run rate of business where we'll replace a machine or two in a given client, and that's the bulk of the business. And then occasionally, we will do a bigger buildout for particular clients. I think as we've talked in the past, our main verticals we serve are financial services, insurance and the like. And where we tend to have big in-house customers, when they will re-fit a large facility or multiple facilities, that can cause some bigger deals and bigger installations that can happen with posts as well. So the third quarter did include a couple of big deals, where we had more of a buildout of a bigger facility on top of our normal run-rate replacement equipment for the vast majority of our customers.
Shannon S. Cross - Cross Research LLC: Okay. And then, when we think about Ecommerce going into the holiday season, can you talk about currency in terms of some of the moves you've seen? Obviously, the pound has moved significantly. Aussie dollar, I think, has strengthened a little bit, I haven't looked in the last week, things move so quickly. But just as we think about how you should benefit from obviously, the holiday season and selling increase there, but then how do we think about that maybe either dampened or supported, I'm not sure at this point, by currency?
Michael Monahan - Pitney Bowes, Inc.: I think if we look at the third quarter as a sort of indicator, if I look at the U.S. dollar to pound relationship, we did see growth in our U.S. outbound on a global basis. That was probably muted somewhat by the stronger U.S. dollar. On the flip side, given the weaker pound, the UK outbound has grown very nicely. And I would say the direct relationship between U.S. and UK was kind of a net neutral because the growth in demand from the U.S. for UK products pretty much offset the reverse of that. So, as we look forward to the fourth quarter, we still have a U.S. dollar that's a bit stronger than last year. But what we've seen is as the currency sort of normalized year-to-year, we don't see rapid or significant movements during the periods, then we tend to see some of that volume come back. The others, we've expanded the number of markets outbound from the UK by another six. And as you know, we've added Australia, although we're very early innings in Australia, we have about seven storefronts open in Australia at this point.
Marc Bradley Lautenbach - Pitney Bowes, Inc.: I would say this carefully and stipulate that this business will continue to be susceptible to currency fluctuations. That said, what you're starting to see is the breadth of the business organically has the ability to absorb some nominal amount of currency movements in a way that candidly we just couldn't when it was a smaller scale a year ago.
Shannon S. Cross - Cross Research LLC: Great. Thank you very much.
Operator: Your next question comes from the line of George Tong from Piper Jaffray. Please go ahead.
George K. F. Tong - Piper Jaffray & Co.: Hi. Thanks. Good morning. Can you elaborate on some of the factors that may have contributed to software licensing revenues falling short of expectations in the quarter, and the timing of when you might expect your new channel partnerships to become productive?
Marc Bradley Lautenbach - Pitney Bowes, Inc.: So, I would attribute the third quarter miss – we started with a better pipeline, as I indicated in the second half. We had hoped to realize a better yield on that pipe in the third quarter. We lost about a dozen deals at the end. We didn't lose any of – we didn't lose, but one or two to competition, most of them were timing from a client perspective. So, we still think that pipeline is good for the second half. I appreciate your question on the new channel because it's important that we're clear about this. So, if you look at the life cycle of bringing on a new channel, there is inevitably a dance upfront in terms of, how I'd characterize, dating, starting to get to know each other, a few deals here and there. And then you move into a more substantial relationship where they actually train their people. And I want to just double click on that because it's perhaps not as obvious, how important that is. So, I made the comment that we trained 200 individuals from these principally regional systems integrators and global systems integrators. As you all know, those businesses run on an hourly meter. So, the fact that they're taking people away from billable work and dedicated them to building their skills tells you a lot. So, it's one of the reasons why we continue to think we've got good prospects for that business. But all that being said, you get the relationships, you train the people and then you start selling. So, that takes quarters, not weeks or months. So – and I would say, in the short term, we'll continue to be dependent on what our direct sales force can do. As you all know, that's performed, I would say, unevenly over the last couple of years. But we believe we've got better line of sight in the fourth quarter. I think the new channels will begin to come on earnest, I think I'll say, a little bit in the fourth quarter and then will continue to build into 2017.
George K. F. Tong - Piper Jaffray & Co.: Got it. Very helpful. Turning quickly to Presort. The revenues there dipped for the first time in several years. Can you discuss whether you believe that the decline is structural in nature or if there are catalysts that can help drive growth again?
Michael Monahan - Pitney Bowes, Inc.: Yeah. In terms of the Presort business, we did – volumes actually were pretty much level year-to-year. We did see some lower priced deals in the quarter, and we had some – a bit higher labor costs. In terms of as we look forward, if we look at the 2017 proposed rate case, what the postal service is really doing is incentivizing mailers to drive more efficiency in the network through higher density in mail. And given the investments we've made in our network and all, we think there's an opportunity for us to help more mailers qualify more of their mail at the highest discount. And so, we see that as a positive opportunity for us as we go forward in the Presort business. So, we see opportunity for continued growth there as we go out into 2017.
George K. F. Tong - Piper Jaffray & Co.: Got it. And then, lastly, understanding you will provide more details at the upcoming Analyst Day, can you share preliminarily what your ERP savings are on track for this year, in 2017 and in 2018, particularly compared to your prior Analyst Day figures?
Michael Monahan - Pitney Bowes, Inc.: Yeah. We haven't really changed our outlook with respect to the benefits we should get. I would say, thus far, in 2016, we're ahead of – I believe we outlined $15 million to $20 million. We're more than $20 million in terms of our outlook for the full year of 2016. That's in part offsetting some higher costs, but lower capital spend in the year. As we look out to 2017, I believe, in the Analyst Day and Adam will keep me honest here, we had $65 million to $80 million. We believe we're still on track for numbers in those – in that range and we'll refine that more at the Analyst Day. And then, obviously, there'll be additional benefits in 2018 as we annualize the benefits we'll get in 2017. So, as I said, we'll give more color on that as we go forward, but that's the order of magnitude we're looking at.
George K. F. Tong - Piper Jaffray & Co.: Very helpful. Thank you.
Operator: Your next question comes from the line of Glenn Mattson from Ladenburg Thalmann. Please go ahead.
Glenn G. Mattson - Ladenburg Thalmann & Co., Inc. (Broker): Hi. Good morning. I guess, it was a year ago in Q4 when sales force first kind of took another little leg down. And I think, at that time, it was mostly related – you guys kind of blamed it on a few large deals slipping, maybe the pipeline being mischaracterized at that time. So, I guess, going forward – currently, are you – can you talk about some of those deals from last year? Are they maturing at this point? And then, just what are your expectations for big – for large software deals in Q4 of 2016?
Marc Bradley Lautenbach - Pitney Bowes, Inc.: Sure. I would say, many of those – the large deals that we had planned in the fourth quarter of last year we've gotten this year. I think what we're seeing is demand slipping to the right, and I think that's basically consistent with the overall business investment environment. I had hoped at one point, because we had such small share, that we would be able to move out of our existing markets with our direct sales force and, to some extent, inoculate ourselves against what's been rather sluggish business investment and capital spending. That's not turned out to be the case. As we look into 2016, in the fourth quarter, as you always have in the software business, you have a couple of large lumpy deals, and they will be binary. So, we think we've got a good beat on them. We think we've assessed them in a prudent way. But that is the nature of software business. These things kind of flow one way or the other. So, we'll know more, and we'll tell you more as we get through the quarter and Analyst Day will be a handy time to update you in terms of these things.
Glenn G. Mattson - Ladenburg Thalmann & Co., Inc. (Broker): Given the newly trained channel sales force, what would be your expectation for 2017 as far as what would constitute the success along that path? Would it be a better rate of decline or growth in software? What are you looking forward for next year?
Marc Bradley Lautenbach - Pitney Bowes, Inc.: For software to increase next year...
Glenn G. Mattson - Ladenburg Thalmann & Co., Inc. (Broker): Okay, okay. Great. Thanks.
Operator: Next question comes from the line of Allen Klee from Sidoti & Company. Please go ahead.
Allen Klee - Sidoti & Co. LLC: Good morning. For ecommerce, with the – as you had mentioned this at the first quarter of good apples-to-apples year-over-year. In terms of the integration with Borderfree and some of the benefits you're hoping to get from that, where would you say you stand on that?
Michael Monahan - Pitney Bowes, Inc.: Well, I would say, we think of the benefits in two categories. On the cost side, I would say we're pretty far along on that. An important piece of that is the integration of the logistics backend and we think we're well down that path. So, I'd say we have the majority of the benefits on the cost side today. Obviously, the other side is on the revenue side, and that's where we're I think beginning to see the contribution of revenue, the leverage of the Borderfree system with our fully landed cost engine in that giving us additional revenue opportunities. So, we think the integration is pretty much done at this point in terms of bringing the two businesses and the two teams together and really now focused on growth in the ecommerce business.
Allen Klee - Sidoti & Co. LLC: Okay. Great. And then, with your Commerce Cloud products and – could you just give a little update of where they stand and also your multi-carrier solution in digital stamps of how that's all doing?
Michael Monahan - Pitney Bowes, Inc.: Yeah. In terms of Commerce Cloud, we talked about a number of new products from the SendPro, which is the multi-carrier shipping system for small businesses. Since that is a subscription-type solution, it's early days for that. Marc talked about some of the numbers early on in terms of beginning to get placements for that product. That will build a recurring stream over time. So, early days, but good feedback on the product. Other important products in the Commerce Cloud that we talked about include our shipping APIs, and we're beginning to embed those into shippers' infrastructure and that allows us to provide them an engine for generating USPS labels. So, again, early days on that, but we're beginning to, as we announced with Ordoro, get some wins around incorporating that in. So, we've seen a number of opportunities around Commerce Cloud. It will be a stream revenue type of portfolio over time. So, early days, but we're pleased with the initial activities we've had.
Marc Bradley Lautenbach - Pitney Bowes, Inc.: I just want to tie two questions together if I might. So, understandably people think about our software business as a standalone entity, and I get that. It's how we report the segment, and it's understandable at one level. With that said, if you look at what is going on in our SMB business as it relates to Commerce Cloud and SmartLink and SendPro, none of that happens without the digital capabilities that we have inside this company. I'll make the same comment about the strength that you're seeing in our ecommerce business. So, while there's been understandable focus on our software business, and make no mistake, I'm not pleased with where we are. To a degree the success that we're beginning to enjoy in our other business are because we have those software assets and capabilities.
Allen Klee - Sidoti & Co. LLC: Okay. Great. And then, just wanted to confirm that did you buy back any stock during the quarter?
Michael Monahan - Pitney Bowes, Inc.: Very minimally. We bought back $2 million worth of stock, which is – equates to 145,000 shares.
Allen Klee - Sidoti & Co. LLC: Okay. Thank you very much.
Operator: Your next question comes from the line of Shannon Cross from Cross Research. Please go ahead.
Shannon S. Cross - Cross Research LLC: Just a really quick follow-up. I noticed, you're on the cost of rentals, the margin – sorry, on rentals, the margin was sort of a change from prior quarters. Is there anything going on there or how do I think about that?
Marc Bradley Lautenbach - Pitney Bowes, Inc.: No, no, no material change there. That's principally due to the cost of meters. So, the rentals are principally meters in the U.S. and in France are the primary places. I think we did have some D&T rentals. We generally have a small amount that generally would have a lower margin, so that might have a little bit of an impact, but I think we've continued to see lower cost associated with meters and therefore improved margins on rentals.
Shannon S. Cross - Cross Research LLC: Okay. So, it's something we should consider sort of an ongoing benefit as opposed to one-timer?
Marc Bradley Lautenbach - Pitney Bowes, Inc.: I'm sorry, Shannon. You faded out a little bit there.
Shannon S. Cross - Cross Research LLC: Oh. Yeah. Actually, you did, too, on my side. That's interesting. No, I was just saying that it's sort of an ongoing – the level we've seen in the prior quarters is sort of where we should be...
Marc Bradley Lautenbach - Pitney Bowes, Inc.: Yes...
Shannon S. Cross - Cross Research LLC: On an ongoing basis? Okay. Thank you very much.
Operator: And at this time, there are no further questions. Mr. Lautenbach, I'll turn the call back over to you.
Marc Bradley Lautenbach - Pitney Bowes, Inc.: Thank you, operator. I'd like to close with three points. First, we know exactly what is required to finish the year strong and we remain confident in our ability to meet our financial commitments. The cumulative actions we have put in place are improving our business performance, and we have a good line of sight to incrementally take out more cost and expense and become even more efficient without sacrificing our long-term objectives. Second, and I understand this, it is easier to get lost in the numbers and lose sight of how far we have come in order to improve our ability to create value in this business, especially, as is the case of software when we fell short of our expectations. It's only when you step back and look at all of the things we've done that you get to the point – you begin to realize how much has been accomplished and how much value we're poised to create. If you think about it in terms of our strategic initiatives, the stabilization of mail, our go-to-market initiatives are yielding improved results and equipment sales are stabilizing. We are reinventing mail by delivering new products and solutions like shipping APIs, SendPro, SmartLink and SendPro 300 that are linked to Pitney Bowes Commerce Cloud and leverage our digital assets and capabilities to drive incremental value. Operational excellence. We've made substantial improvements in our expense structure and are far more productive today than we were a few short years ago. We've improved our balance sheet, and we've cut our inventory nearly in half. Critical to our transformation, we're continuing to see operational benefits from our new enterprise business platform, which now covers 80% of our business. We expect to realize increased operational benefits from this platform in the fourth quarter and throughout 2017. Finally, growing digital commerce. In the third quarter, Global Ecommerce grew 17% organically, excluding the impacts of currency, and margins improved. Four years ago, this was a fledgling business. Today, this business is on track to become a substantial part of our portfolio and is growing significantly in the years ahead. The opportunities in the space are significant, and we're just getting started. In our software business, we've introduced a number of world-class products in the marketplace and world-class clients, and we're building a robust partner channel that includes global systems integrators, regional systems integrators and location intelligence partners. We've trained more than 200 partners sales and technical resources that will help drive our business. We have much more work to do in software, but we've made significant improvements already this year. And finally, that clear water that I described last quarter, will begin to see the investments of the – investments we've made over the years. We spent the last three and a half years building a strong foundation. I would argue in many ways the hard part of the work is behind us. We've invested areas to secure our future growth, and have taken the necessary steps to acquire and unlock value. We've the right vision, the right strategy and right products and solutions. And with everything, it's now coming down to execution, and that's on us. With that, I'm looking forward to speaking with you again at the Analyst Day in New York City on December 6. Thank you.
Operator: Ladies and gentlemen, that does conclude your conference for today. Thank you for your participation and for using AT&T Executive TeleConference. You may now disconnect.